Operator: Greetings, and welcome to the voxeljet AG Third Quarter 2016 Financial Results Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Mr. Johan Pesch, Manager, Investor Relations and Business Development. Thank you, sir. You may now begin.
Johannes Pesch: Thank you, operator, and good morning, everyone. With me today are Dr. Ingo Ederer, voxeljet’s Chief Executive Officer; and Rudi Franz, voxeljet’s Chief Financial Officer. Yesterday after the market closed, voxeljet issued a press release announcing its third quarter results for the period ended September 30, 2016. The release as well as the accompanying presentation for this conference call is available in the Investor Relations section of the company’s website at voxeljet.com. During our call, we may make certain forward-looking statements about the company’s performance. Such forward-looking statements are not guarantees of future performance and therefore one should not place undue reliance upon them. Forward-looking statements are also subject to inherent risks and uncertainties that could cause actual results to differ materially from those expressed. For additional information concerning factors that could cause actual results to differ from those discussed in our forward-looking statements, you should refer to the cautionary statements contained in our press release, as well as the Risk Factors contained in the company’s filings with the Securities and Exchange Commission. With that, I would now like to turn the call over to Ingo, Chief Executive Officer of voxeljet.
Ingo Ederer: Thank you, Johannes, and good morning, everyone. I want to thank everybody for joining us today. I’m going to give a brief overview of our results for the third quarter. And then update you on the status of our strategic initiatives. Overall, I’m pleased with our performance. We are in the middle of executing on our Strategy 2020 and we are making good progress. We focus on speed to market and lowering our costs to serve our customers more effectively. Our key initiatives for achieving these objectives include standardization of our product portfolio as well as optimize internal processes. Let’s turn to Slide 6 of the presentation and begin with the highlights for the third quarter 2016. Revenue for the quarter was €4.9 million, which represents 4% growth compared to last year’s third quarter and is near the midpoint of the guidance we issued at the end of Q2. Revenues from our business segment, which includes revenues from selling 3D printers, consumables and spare parts as well as maintenance, increased 75% to €2.5 million in the third quarter of 2016 from €1.5 million in last year’s third quarter. We delivered three new printers in this year’s third quarter, compared to two new printers in last year’s third quarter. As of September 30, we have a Systems backlog of €5.8 million, representing 10 printers. Revenues from our Services segment, which focuses on the printing of on-demand parts for our customers, decreased 28%, to €2.3 million in the third quarter of 2016 from €3.2 million for the same quarter last year. This was mainly due to a lower revenue contribution from our subsidiary, voxeljet UK. Please keep in mind, we successfully restructured our subsidiary in the UK and focused activities on selling printers and supplying on-demand parts only. The drop in revenues in the UK of unfortunately €0.8 million compared to last year’s third quarter is primarily due to the discontinued labor-intensive post processing activity. It is important to note that this restructuring helped us achieve an increase in Services gross margin to over 40% year-to-date in 2016. Regarding short-term business, we continue to operate in a complex economic environment with worldwide market remains uncertain and comparatively volatile, with some regions providing balance and others displaying unclear signs. Regarding mid- to long-term business, we are excited about upcoming opportunities in all markets, especially with our new and improved processes. For example, we are working on some really large scale projects with key industrial customers. We expect to announce first milestones towards the end of next year. While we continue to operate in challenging markets it is important that we aggressively address our current reality by taking the steps to position the business for the longer term. We are driving industrial 3D printing and gradually transitioning into manufacturing. I strongly believe we are well-positioned to build deals successfully with adjacent market sectors and continue expanding our leadership position in the 3D printing industry. Let’s go to Slide 7, this summarizes a number of critical strategic initiatives. We prioritized to help us navigate through these near-term challenges and position our business to a very large long-term higher growth market opportunity. Moving to Slide 8, I’d like to highlight two key initiatives we focus our activities around. First, the successful transition of 3D printing from prototyping to manufacturing requires full integration with business IT systems. This integration will lead to standardized and automated processes, which will effectively reduce time to market and help save costs. We therefore continue to invest in our IT infrastructure, for example, we are currently implementing a SAP-based production planning module to integrate our internal processes for them. This is really exciting and of critical importance to manage future growth. Through these initiatives we have already identified manufacturing and supply-chain connections that will further streamline our business and improve our cost structure in the future. To further improve sales and to leverage our global reach, we are rolling out a group-wide cloud-based CRM system. I expect this to have a significant impact on our future sales as it will help us to better coordinate our activities anytime and everywhere. In an effort to speed up technology adoption rates we joined a co-initiative with SAP and UPS. This program will better connect manufacturers, industrial 3D printing companies and global logistic companies. We are really excited about signing this agreement and are convinced that 3D printing will move more quickly into mainstream manufacturing and industrial supply-chain. Second, we focus on refining our processes to further increase the reliability and performance of our products. Again, this is critically linked to the successful implementation of all IT infrastructures. This infrastructure will provide us with the necessary visibility to better analyze plan and improve our activities. In addition to these internal programs, we focus on this stringent auditing of all suppliers to ensure quality targets are met, especially with regard to consumables used in our 3D printing processes. In addition to that we are closely cooperating with our industry partners to develop new and improved processes for our printing systems. And an interesting example is ceramics, where we see a great potential. Moving to Slide 9 and 10, I would like to give you an operations update. The expansion at our headquarters in Germany is on track. We are excited about the programs we have made and expect construction to be completed in early 2017. The new buildings offer a 3,000 square meters of production space for our systems assembly and 1000 square meters of office space and will support our long-term growth strategy. This also optimizes our financials as we no longer have to rent expensive external space. At our facility in the U.S., we meet a steady increase in demand with installing additional 3D printing equipment. To increase our coverage in the Americas, we recently signed a dealer agreement in Mexico. In the UK, we plan to relocate to a larger facility in the first-half of 2017, with this move we will further diversify our revenue generation potential, and add new Phenolic Direct sand printing systems. Turning to Slide 10, in India and China, we focus on growing our infrastructure by adding additional sales capacity. In China, we are in the final planning stages of our new facility and expect construction to commence in the next year’s second quarter. With this, I would like now to move to Slide 12, and give you technology update. As you can see there are some really interesting projects in the pipeline. In our sand section we are in the final development stages of our second-generation inorganic binding systems. In this process particles are bound using water glass based binders. Similar to the voxeljet’s Phenolic Direct Binding process, an infrared lamp heats the surface and accelerates curing of the bind material. This synergizes nicely with the knowledge we gained during the development of our Phenolic Direct Binding process, which also uses infrared technology for binded curing. In PDB, we focus on the upscale across our machine portfolio. Coming to plastics, we are making nice progress in the development of high speed sintering. Just for you to remember, HSS is a powder-based 3D print process for making end-use plastic parts in excellent quality and with outstanding productivity. The process distinguishes itself by sharp edges and greater [ph] detail resolution. Regarding the timeline, HSS has been successfully implemented on Voxeljet platforms on a large scale. The next step will be the transfer of this process to larger machines. We expect to release more details within the next 12 months. Another interesting project in our plastic section is the second generation design of Poly Por based binding materials. This improved process provides a significantly increased resolution, low surface roughness, and then the higher process stability. Process stability and repeatability in general are key focus activities in our R&D department. Also we are continuously exploring ways to further increase the performance and efficiency of our machines. Slide 13, shows HSS’ sample part which we printed off in one of our platforms. This brings me to Slide 14 and a summary of necessary next steps in the industrial 3D printing. The feedback we gather from our customers is clear. What they care most about is reducing cost of ownership. This implies increased printer performance and process stability. Subsequently, we are focusing our R&D activities around these topics in an effort to increase our market share in the future. Slide 16, summarizes the machine tool market, which can be seen as a lead indicator for industrial 3D printing. The key takeaway is two-fold. First, the market has bottomed out and is picking up once - picking up pace again. Second, emerging economies and new technologies would drive future demand. Regarding emerging markets, as stated in previous calls, particularly India and China carry a huge potential. We have just started to take advantage of it by expanding our local presence in voxeljet India and voxeljet China. Regarding new technology trends, the automotive industry is an interesting example. We expect to continue to benefit from engine transmissions and driveline conversions designed to meet more stringent government regulations and consumer preference. Customer demand for fuel efficiency gains is driving conversion to higher speed transmissions. This is creating high value-added opportunities, ideally suited for voxeljet’s industrial 3D printing technology. With this, I would now like to turn the call over to Rudy.
Rudolf Franz: Thank you, Ingo. Good morning, everyone. I’ll now take you through the financials. Turning to Slide 18, our total revenues increased by 4% to €4.9 million in the third quarter compared to €4.7 million in last year’s third quarter. Gross profit and gross margin in the quarter were €2.0 million and approximately 41% compared to €1.5 million and 33% in last year’s third quarter, and slightly above our guidance range provided at the end of Q2. The next slide shows our segment reporting for the quarter. On slide 19, revenue from our Systems segment, which includes revenues from selling 3D printers, consumables and spare parts as well as maintenance, increased 75% to €2.5 million for the third quarter of 2016, from €1.5 million in last year’s third quarter. We sold 3 new printers in this year’s third quarter compared to 2 new printers in last year’s same period. Systems revenue represented 52% of total revenues in the third quarter 2016 compared to 31% in last year’s third quarter. Gross profit and gross margin for our Systems segment in the quarter was €1.0 million and 40%, compared to €0.4 million and 30% in last year’s same period. As utilization picks up, we expect gross margins from the Systems segment to be in a range of 40% to 45%, consistent with the outlook we have given in the past. On Slide 20, Service revenues decreased 28% to €2.3 million in the third quarter of 2016, compared to €3.2 million in last year’s same quarter. The decrease is mainly due to lower Service revenue contribution of voxeljet UK, amounting to €0.8 million. Last year’s third quarter was particular strong in Services revenue, but weak on margin. In line with giving effect to the successful restructuring of voxeljet UK, our gross profit increased to 43%. In addition to that, utilization at our U.S. operations ticks up. As mentioned in previous calls, utilization is key to earning better gross margin. Looking now to the rest of the income statement on Slide 21, SG&A expenses were €2.4 million in the third quarter of 2016, this compares to €3.1 million in last year’s third quarter. Research and development expenses were €1.5 million compared to €1.7 million in last year’s third quarter. The decrease was related to the termination of certain non-core R&D project at voxeljet UK as part of its restructuring. As Ingo highlighted, we continue to invest in core R&D in Germany with a number of active projects in various stages of development, which strengthens our leadership and technology. Our operating loss of €3.5 million in the third quarter of 2016 includes impairment charges of €1.4 million compared to €335,000 of impairment charges in the comparative period, as well as a net loss from foreign exchange amounting to €524,000 compared to a net gain of €271,000 in the comparative period. The changes in foreign currency losses and gains were primarily driven by the valuation of the intercompany loans granted by the parent company to our UK and U.S. subsidiaries. This was partially offset by lower operating expenses with the function of SG&A and R&D. Net loss for the quarter was €3.5 million or €0.95 per share compared to a net loss of €3.4 million or €0.91 per share in the previous year quarter. On an ADS basis net loss was €0.19 per ADS compared to net loss of €0.18 per ADS in the third quarter of 2015. This provides the same presentation for the nine months period ended September 30, 2016 on Slide 22 through 25. Slide 26, shows selected balance sheet items. At September 30, 2016, the company had cash and cash equivalents and short-term investments in bond funds of roughly €22 million. Total debt at September 30, 2016 was approximately €4 million. Weighted average shares outstanding for the quarter were 3.7 million, which equates to 18.6 million ADSs. We believe that our balance sheet positions us well for the long-term. Moving now onto Slide 27 and our revenue guidance for the quarter and full-year, for the fourth quarter of 2016, we expect revenues in the range of €6 million to €8 million. Consequently, we adjust our full-year revenues to €22 million to €24 million with gross margins of 35% to 40%. SG&A spending is expected to be in the range of €9.0 million to €9.5 million, and R&D spending to be approximately €5 million to €5.5 million. Depreciation and amortization expenses are expected to be between €2 million and €2.5 million. CapEx spending for 2016 should be in the range of €10 million to €11 million, which primarily consist of ongoing investments in our global subsidiary as well as the construction of two new buildings at our campus in Germany to support increased production capacity. We expect a significantly improved EBITDA for the fourth quarter of 2016, however, as a consequence of lower top line growth we do not expect to become EBITDA positive for the fourth quarter of 2016. We expect to release our financial results for the fourth quarter of 2016, after the closing of the financial markets on Thursday, March 30, 2017, and host a conference call and webcast to review the results for the quarter on Friday, March 31, 2017 at 8:30 AM Eastern Time. This concludes my remarks. And with that, we will now open the call up for your questions. Operator?
Operator: Thank you. The floor is now open for questions. [Operator Instructions] Our first question is coming from Troy Jensen of Piper Jaffray. Please proceed with your question.
Troy Jensen: Yes, good morning or I guess good afternoon, gentlemen. Thanks for taking my question here. I guess, just starting off with Ingo, I guess I’d be curious to know what do you think catalyst is going to be moving forward here. This industry has been kind of stagnant for quite some time now. Is it going to be some of these new materials hitting, some new machines coming out, High Speed Sintering? Just give your thoughts on what it’s going to take to get back to a better growth environment.
Ingo Ederer: So currently we have lot of different materials of the very high potential in our development chain, which are not released yet. So we believe that with the release of those materials that’s like high speed sintering, like the new or the improved inorganics, we see a better growth and the same comes also with the development of our subsidiaries which are not completely online yet, for example in India and in China. So these are - I would say all the ground stones are laid for higher growth rate, but they are not at - we’re not taking advantage yet since they’re not completely finished yet.
Troy Jensen: Okay, understood. I suppose it’s a tough question. Then for Rudy, can you just talk about the weakness here? Are you guys are seeing it? Is it primarily in plastic prototyping or is it also in sand casting?
Rudolf Franz: Hi, Troy. Can you please repeat your question? I didn’t get the first part of it.
Troy Jensen: Yes. I’m just wondering if the weakness is more in plastic prototyping or sand casting. I’ve always thought of sand casting is more industrial growthy opportunity. I understand that prototyping is weak. So I’m just curious, did you guys see a weakness in both casting and plastic applications?
Rudolf Franz: So in our Services segment as we’ve spoken, the revenue decline was primarily driven by the restructuring of voxeljet UK that was probably €800,000 that for sure was an additional decline out of our German facility. We have shown a significant growth in parts, so the output is better than the previous period. What we see is by an increased adoption rate in the industry, we just are forced to get better prices and conditions, and this especially in the sand casting. In the U.S., we see a nice growth, especially in plastic, so the adoption rate is pretty good. The utilization rate in plastic is good. On the sand side, we still have room for improvement, but we’re catching up. In China, we just didn’t really start. So the sand market is increasing. In respect of service revenue on plastic, we work on a very low level. Overall, I would say adoption rates are good. In the different markets, we see price compression.
Troy Jensen: [indiscernible] just last one for you, Rudy. I mean, you guys have been running at loss for a while now and you’re adding CapEx here and expanding kind of your footprint. I mean, are you guys getting nervous? Are you guys - is there going to be a point where you need to scale back if you can’t reach profitability or just kind of help me on your thoughts on the cash burn level here?
Rudolf Franz: So as you see that most of the cash go into investments for future growth. Since these investments are not online yet for revenue generation, we are still confident to reach our targets in future. It takes longer than estimated, of course, this is true. But I wouldn’t say we are nervous. Also we are - of course, we watch carefully what we’re doing, but we are still confident to reach our targets.
Troy Jensen: Okay, any color there?
Rudolf Franz: Nothing more to add, Troy. We are in the middle of our planning sessions for 2017. And if you would ask me whether I’m happy with the performance, I for sure would say, no, I’m not or we are not, but there are a lot of very positive signals. I think Ingo gave a good flavor on product development, we see gross margins catching up. So there are a lot of quite positive indicators, even if we don’t show them right now in our earnings.
Troy Jensen: Okay, although I wish you guys the best, good luck.
Rudolf Franz: Thank you.
Operator: Thank you. Our next question is coming from Rob Stone of Cowen and Company. Please proceed with your question.
Robert Stone: Hi guys, I have a few questions. The first one is could you comment on what factors drive the range of expected revenues for the fourth quarter. What things would put you either at the low or high-end of the range?
Rudolf Franz: The main driver is - I think we see a growth in our Service revenue, primarily in the U.S. in plastics. We definitely are going to have a good support to fulfill the guidance. And on the printer side, we see a - we simply see our current backlog, which we going to ship, and this is in various industry. But still the main industry we’re shipping is automotive related, it’s going to industry - I can’t be to concrete. It is industry sector. It’s the main markets which we’re shipping to. Okay, there is not a big change in markets where we’re shipping to.
Robert Stone: So is it potentially the timing of factory acceptance of new systems that - in other works, what I was getting at is what circumstances will bring you to the €6 million versus €8 million for the quarter, what’s the variability?
Rudolf Franz: It’s just the final signatures. We have the - we see most of it on radar screen already therefore we gave that guidance as we have given it. We have systems available in all markets in previous years. We still had this topic of shipping into either China or the U.S. If we sign a contract either for a plastic printer or sand printer, we are able to ship in Europe, in the U.S. and Asia. And we are quite confident to get the orders in and book revenues for those.
Robert Stone: Okay. My second question relates to the market in the UK. Your compares year-over-year for Q3 are reflected by the lower margin finishing business as you exited. But you’re planning to open a larger operation there. How do you see the opportunity in the UK? Is that actually increasing?
Rudolf Franz: So the UK, we see is an interesting market with lots of activities around our product portfolio. So we have there a strong automotive industry and we have also other interesting industries where we can deliver our products. And so that’s why we believe that the positioning of our UK subsidiary for industrial demand brings further growth. And I think it’s also the right time to bring the right products over to UK. An example, the Phenolic Direct Binding systems for sand services is definitely something, which is unique on this island. And we’re for sure are able to gather certain portion of the market there.
Robert Stone: Great. A question also for Ingo on the development pipeline, you mentioned having sort of updates by the end of next year. What might we see for milestones regarding some of the new products in the next few quarters? Is it going to be quite for a while or when will we…?
Ingo Ederer: Well, it’s always pretty good to talk about the latest developments. But I gave you a bit of a flavor with the slides. You have seen the High Speed Sintering part. And I although mentioned that we are consecutively working on production equipment for automotive industries. So take this and combine it and then you get a good picture of what you will see end of next year.
Robert Stone: Okay. My follow-up question relates to the long-term model and the outlook for next year. Your guidance for this year now comes to a range of flat to down about 10%, and there is quite sometime between now and end of March. Do you expect to issue guidance for 2017 sometime before the fourth quarter as report or we get that on the March 31?
Rudolf Franz: Rob, we will host analyst meeting in January as we did last year. And before this analyst meeting we file our 6-K, we’ll be going to give guidance for the full year and where we as well going to talk about expectation of the Q4 or more or less that we concern the Q4 guidance?
Robert Stone: Great. Thank you very much.
Rudolf Franz: Welcome.
Operator: Thank you. Our next question is coming from Ken Wong of Citi. Please proceed with your question.
Kenneth Wong: Hi, good afternoon, guys.
Rudolf Franz: Hi, Kenneth.
Kenneth Wong: In your press release, you guys mentioned the loss of a very significant customer. I’m just wondering kind of what the run rate of that particular customer might be, so that we can roll that into the model.
Rudolf Franz: The previous run rate of the customer was on a monthly basis €50,000 to €60,000 a month, which can be compensated by other clients which we’re working on. So going forward, we don’t change our growth expectations for the UK market. Most significantly we see a lot. By having restructured it a year ago, we anyhow have been focusing on industrial clients as well both industrial clients and consumer-related clients. And we - it’s always tough to lose a client, but we will work through that and we have a lot of other opportunities in clients who can grow into the capacity.
Kenneth Wong: And then in terms of that particular large customer, any details you can give us in terms of kind of what happened there or is it just that particular market was…
Rudolf Franz: Just for the purely managed business, which turned out not to be successful or restructuring its own premises. That happens all day that you lose clients through insolvency that happened to us in that quarter. Fortunately, we stopped shipping to that client early enough, so when we recognize the trade receivables are no longer, how to say, we’re capable and then we stopped it. So I think we did everything which was needed. And as said, we see a lot of potential in the UK and in October already we saw a nice new client stepping into that capacity.
Kenneth Wong: Got you. And then, in terms of the - kind of the source of weakness in Germany, would you characterize that as a more competitive, was it just a matter of it being Q3 in Europe and that led to some softness? Just trying to get a sense of what the main causes there are. And I’m not sure if you can give us a sense of kind of where you guys are utilization-wise in terms of the capacity there. But you guys are also growing out additional capacity. I’m just trying to get a sense of how you feel about scaling there.
Rudolf Franz: In the Services segment we report sand printing, plastic printing and casting revenues. We see nice utilization rates in two printing segments. Casting is anyhow a service which we buy into. But in the sand printing business, we see a pretty good utilization rate. We see a growth in printed parts which we ship. What we still see is a quite competitive environment. There are other players around us who will support the market with pretty aggressive pricing. And I think in the industrial - as soon as the products reach an industrial level, you have to reduce prices. In that respect or in that specific market we were forced to reduce them even higher. With the new products, Ingo mentioned inorganic materials that, direct binding, which we will add to our Services segment. We will see a good differentiator in the Services and you should see growth rates and as well on better pricing. So that’s all I want to say to that.
Kenneth Wong: Yeah, got it. So I think you guys mentioned in your 6-K that Germany run rate right now is kind of 1.3 million. Is that a pretty good level to think about it going forward at the moment, until things tick up or is there something, again, is that more of a kind of a one-off headwind that you guys saw in Q3?
Rudolf Franz: Hopefully not. We hope and that’s what we currently see that we catch up to the level which we’ve seen previously on previous quarters and as well see growth again. That’s our target.
Kenneth Wong: Got it. Thanks a lot guys.
Rudolf Franz: You are welcome.
Operator: [Operator Instructions] Our next question is coming from Saliq Khan of Imperial Capital. Please proceed with your question.
Saliq Khan: Hi, good morning, guys.
Rudolf Franz: Hi, good morning.
Saliq Khan: Just a couple of questions, sticking with the overall gross margin during the quarter, while that improve [volume to serious] [ph], is that largely a part of the construction that you’ve done in the UK or is that a part also due to a price increase as well?
Rudolf Franz: I thank you for that question. First of all, as written in the 6-K it’s for sure, in that if we talk about our Services segment, the restructuring of our UK subsidiaries, where we simply stopped with not very profitable post processing. But as well, we were able to take businesses into our Services segment with pretty good margins. In our German service center, we saw businesses with margins of 45%, 46% so that was pretty good. That said what we said, we were confronted with significant or quite aggressive competitive pricing offers to clients, where we simply did not participate. Overall, the utilization rate in our service center is pretty good. We shipped a lot of pieces, but as said, we avoided to step into too low prices.
Saliq Khan: Okay. The thing I was thinking about is I think was in the prior call when you had mentioned that you have slowed down the Indian operations altogether. And now it appears that you are focusing on the Indian operations. What essentially led you…?
Rudolf Franz: Maybe you misunderstood us in this call. We didn’t say we slowdown. We just said we will start with opening a service center in India for another two to three quarters. We have a high focus on India and China. And as Ingo mentioned, we are in finalizing the final plans and discussions with the people in China, and then start with the building - with the new building. We have an existing building, with a new building I think in the presentation with some nice pictures. And in India and that’s what we learned. I think the ramp-up in the UK took quite a lot, it took a little longer. And we just want to be on the safe side until we start that project. So currently, we are fully focused on the new business in China or the new facility in China. We have to move into a bigger facility in the UK. And therefore, we just said in Q3, we want to wait until we start with a bigger facility in India. I think that’s just from a business point of view, you can handle only certain projects. But we don’t slowdown.
Ingo Ederer: But in addition to that, we have a presence there with a portion of sales people.
Rudolf Franz: Yes, yes.
Ingo Ederer: Yes. We’re doing good business there, so…
Rudolf Franz: Yes, yes, yes, that’s for sure.
Saliq Khan: Got it. And I think as well you guys mentioned that about sales people as well, because I was curious as - although, you continue to grow and grow the sales people, the big thing that in my mind is, how you go about hiring the sales people without the sales team that’s required to be able to sell and then up-sell on your customer. Can you highlight that a little bit? Are these guys that you are taking away from your competitors? Are these sales people that you are essentially taking, and I’m just hypothetically thinking, are these sales people that you’re taking from a different region and then - because if they’re successful on region A, then you’re going to put them into India to be able to continue and see the success that they’ve had - and can see their success in India. Can you highlight more about the criteria and the thought processes when it comes to hiring your sales people?
Rudolf Franz: So currently, we employ on a group level approximately with 35 people related to sales. We have approximately 22, 23 distributors, and agents working for us. So that’s a decent footprint in respect of sales activities. When recruiting new sales people, we usually recruit younger people, means good educated engineering background and combination with business in the early 30s and train then in our own organization. What we have learned is you can’t hire older people. They will have to learn the additive manufacturing process. They have to learn our equipment and have to know how to handle. So it’s better to train the younger people, which we successfully did. We participated last - or this year I think in more than 40 exhibitions on a global basis. What we still don’t see is an accelerated order income. And I think we discussed this with the new project which we launch in [material effect] [ph]. I’m pretty sure that with all the sales efforts which we currently already have, with all exhibitions we’re participating that we see an increased order income and increased backlog and as well growth again.
Saliq Khan: Yes, in regards to the thought processing regarding hiring sales people to have a R&D background and some sort of business background, certainly I understand where you’re coming from. But I’m also assuming that it also comes with a much higher upfront cost with the guarantee of whatever the salary may be has to be a little bit higher as well. So do you believe that the upfront salary and then whatever bonus they make, yes, depending on the type of sales they do is going to be able to offset that cost and you’re able to offset it by the increased selling they may do of the printers and the services.
Rudolf Franz: I think currently it’s not an issue of paying our sales-force too less money. We’re working on the relevant project on a global basis. I believe it’s more or less a question that the customer finally decides. And we are in that respect in a transition period. Customers accepted our technology. There is not a discussion of whether it works or not. The question is always the same, does it fulfill their requirement in respect of productivity, in respect of reliability, in respect of materials that being used in a mass production environment. And as said from Ingo, there are various projects out that we’re working on. And this is always a combined working group. It’s not only the same person who sales that printer, and you could sell a boxbed [ph] system, yes it is. But if you sell bigger projects there is always our systems and R&D department involved, where we discuss with the client about material supply, et cetera. So I would say that the overall sales process and the overall execution process is pretty good in shape. We’re just lacking on simply executing the relevant projects and I think that’s what we work on and that where we see out of R&D focus for sure in the next quarter some new materials which should help us.
Saliq Khan: And just lastly, the one thing I’m very excited about is the partnership with SAP and UPS that announced earlier as well. Can you talk about revenue and the core potential that you see over there, over the next 12 months?
Rudolf Franz: That’s really tough to say. As you are aware of, we implemented, we started to implement SAP in our own organization back in 2014. We now have almost all modules implemented. The remaining one is the sales tool for our parts business, which should be implemented by Q3, Q4 next year. But that’s the remaining part. And the working group which we have for the project where we’re participating with other major suppliers is simply a very good sign where the industry is heading to. And that we have been invited in such a project is a pretty nice signal and quite positive for us. What this means in respect of revenues, I can’t say. But I think it’s not a secret that industrial applications will grow and I think it’s good to participate with the large players who will support that growth.
Saliq Khan: Great, thank you, guys.
Rudolf Franz: Thank you.
Operator: Thank you. At this time, I would like to turn the floor back over to management for any additional or closing comments.
Ingo Ederer: Well, thank you. So with an active presence in all of our major markets as well as ongoing investments in our infrastructure, we have successfully prepared our group for continuous growth. We focus on commercial and operational excellence which extends from the factory floor to all aspects of our business including sales execution, pricing as well as product and service innovation. We’re taking action to ensure we consistently meet our commitments to our customers, shareholders and key members, and get our position and the right condition for the better growth in future. We look forward to seeing you next week at formnext in Frankfurt, and speaking personally with you again in March 2017, when we report our results for the fourth quarter of the current business year. Thank you very much.
Rudolf Franz: Thank you very much.
Ingo Ederer: Have a good weekend.
Rudolf Franz: Have a good weekend to all.